Operator: Good day, and welcome to the Fiverr Third Quarter Fiscal 2019 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Jinjin Qian, Vice President of Strategic Finance.
Jinjin Qian: Thank you, operator, and good morning, ladies and gentlemen. Thank you for joining us on Fiverr’s earnings conference call for the third quarter ended September 30, 2019. Please note that this call is being webcast on the Investor Relations section of the Company’s website. Full details of our results and additional management commentary are available in our shareholder letter, which can be found on the Investor Relations section of our website at investors.fiverr.com. Joining me today on the call are Micha Kaufman, Founder and CEO; and Ofer Katz, CFO. Before we start, I would like to remind you that certain matters discussed today are forward-looking statements that are subject to risks and uncertainties relating to future events and/or the future financial performance of Fiverr. Actual results could differ materially from those anticipated in these forward-looking statements. Additional information that could cause actual results to differ from forward-looking statements can be found in Fiverr’s periodic public filings with the U.S. Securities and Exchange Commission, including those factors discussed under the “Risk Factors” section in Fiverr’s final prospectus under Rule 424(b) filed with the SEC. The forward-looking statements in this conference call are based on the current expectations as of today, and Fiverr assumes no obligation to update or revise them, whether as a result of new developments or otherwise. And now, I will turn the call over to Micha. Micha?
Micha Kaufman: Thank you, Jinjin. Good morning, everyone, and thank you for taking the time to join us on the call today. The third quarter was extremely strong for Fiverr. Revenue grew 42% year-over-year, and we saw strong growth across all of our key metrics. We see that momentum in the freelance economy is higher than it has ever been, and businesses around the world are increasingly using Fiverr to connect and transact with freelancers to get projects completed quickly, easily and efficiently. In addition to growth, we continue to demonstrate a clear path to profitability. Margins were strong. We drove operating leverage with a 430 basis point improvement in adjusted EBITDA margin. Now, in light of our excellent results for the first nine months of the year, together with the strength of our business, we are raising guidance for 2019. We now expect revenue in the range of $105.5 million and $106.5 million, reflecting 40% to 41% growth over 2018. We are also raising our EBITDA outlook for the year, as Ofer will touch on. During our first earnings call I introduced Fiverr, so I won’t go into too much detail today, but for those who are new, we are a marketplace that connects buyers and sellers for digital services. Fiverr is a technology company, not a staffing company. Our proprietary technology allows freelancers to productize digital services into a SKU-like catalog, and this makes the experience of buying a digital service from a freelancer as simple as buying something on Amazon. We have a powerful, comprehensive platform that uses advanced algorithms to optimize and leverage mass quantities of big data, and this makes everything simple for both buyers and sellers. On the buyer side, our approach and technology eliminate friction, and what this means is that on Fiverr they can order digital services like an animation for a video game, a logo design for their business, voiceover for their radio commercial, and much more. And what is most exciting is that it can be done in approximately 15 minutes, whereas traditionally it takes about 30 days just to find and hire a freelancer. This is unmatched in the industry, and the power and simplicity of our platform is what’s driving our financial results. On the seller side, they don’t need to waste time bidding on jobs they may end up not winning. We give them the tools needed to run their business, collaborate with clients and ensure they are satisfied with the job, and at the same time, our e-learning platform helps them continually improve their skills. Fiverr takes away the stress of being a freelancer and allows the seller to focus on what they like best, being creative and providing customers with a product they love. Before Ofer takes you through the financials, I’d like to share a few business highlights from Q3. First, we significantly expanded our catalog and deepened our penetration into larger businesses with the launch of four industry stores in Gaming, E-commerce, Architecture, and Politics. We have observed that adding new categories increases the lifetime value of our buyers since they repeat and buy more frequently as well as buy across more categories. It also increases our total addressable market. By packaging gigs into a vertical stores, we enhance the experience for both buyers and sellers. And this is definitely something you should expect to see more of in the future. Second, our focus on moving upmarket is working. Spend per buyer increased $6 from $157 in Q2 to $163 in Q3, and the percentage of high-value buyers with an average spend of over $500 reached 52% of our core business. While it is still very early, we are encouraged by the response to Fiverr Studios. The product is gaining traction and since its launch at the end of July, hundreds of freelancers have now teamed up to provide larger and more complex gig offerings on our marketplace. The average Studio’s project is nearly 7 times the price of an average gig. We are very excited about the potential of how Fiverr Studios can drive spend for our buyers in the long run. Beyond the financials, Fiverr Studios is an example of how we want to drive the business. We need to make it easier for buyers to find the services they need, large or small, and at the same time enable collaboration among freelancers. The third highlight I’d like to share is that our global footprint is expanding. On our last call, we talked about our launch in Germany, and we see strong acceleration there as a result of a local marketing campaign in Q3, with activity and buyer levels well above marketplace averages. It is our intention to leverage our learnings from the initial launch in Berlin to other areas in Germany and to other German-speaking countries. This will create a repeatable playbook for further expansion. We are matching this effort by expanding support for foreign-currency transactions, which is important in driving local audiences. And finally, a focus on technology and data drives our decision-making and powers our business. In addition, we are investing heavily in mobile. Mobile is highly strategic for us. But, it’s not just about the transactions that happen on mobile, it is the transactions that mobile is involved in. We understand that in today’s always on-the-move market, people constantly switch between desktop and mobile. And we want to be present and support them on all those scenarios. With one of the best-in-class mobile apps, mobile is becoming a touchpoint for the majority of transactions on Fiverr today. And we are constantly working on ways to optimize the user experience and the back-end across our marketplace to widen our lead in the online freelancing space. Fiverr had an excellent Q3, which will stack up to an even stronger performance for the year. While we are happy with our results and momentum, it’s even more exciting to think about what’s to come, especially when we look at the global trends towards freelancing and the accelerating needs of businesses for digital services. This is a great opportunity to say how much we appreciate the hard work of the Fiverr team around the world. We look forward to seeing many of you at the New York UBS Conference in December and at future events. And with that, I’ll hand over to Ofer, who will review our financial results. He has some really great updates for you.
Ofer Katz: Thank you, and good morning everyone. As Micha mentioned, Fiverr delivered strong revenue growth of 42% in the third quarter. This was led by robust growth in all three key metrics as well as the new initiatives that we outlined in our shareholder letter. In terms of key operating metrics, active buyers grew 16% year-over-year to $2.3 million. Spend per buyer grew $6 from $157 in Q2 to $163 and our take rate grew 140 basis points year-over-year to 26.6%. Active buyer growth accelerated in the third quarter this year. We saw very strong trends in organic channels that benefited from the brand marketing investments throughout the year and the ongoing investments we make on marketing automation and SEO. We continue to see very stable trends across our annual buyer cohorts, and repeat buyers contributed 58% of core marketplace revenue. In addition, our performance marketing investments continue to be highly efficient. tROI, or time to return on investments, for Q3 was close to 1x, which means nearly all our performance spend during the quarter had already been recovered during the quarter. This is phenomenal. It is important to note that while we are happy to see Q3 buyers’ spending pattern stronger than a typical cohort at this stage, there is no fundamental change in our acquisition strategy, and we expect tROI for our future quarters to remain consistent with historical levels. Spend per buyer growth was also strong during the quarter. The industry stores that we launched during the quarter increased cross-category purchases among our buyers. We also grew our German market substantially, and buyers in Germany have higher spending capacity. Lastly, the growth of our content marketing platform enable us to attract buyers with deeper wallets. Our take rate continued to grow at a modest pace during the quarter. We continue to generate incremental revenue streams from seller tools and foreign currency products. Our content marketing subscription platform continues to grow at a healthy pace, and this contributes to the overall take rate as well. We are very confident that our take rate is sustainable, especially when you consider our strategic position and the significant value added to each transaction. We believe there is further room to the upside on take rate as we move forward. Now, let’s look at the margins. Q3 non-GAAP gross margin comes in at 80.8%, a year-over-year decrease of 140 basis points. As we mentioned before, our gross margin will fluctuate. This is based on the mixed impact of increasing efficiency on our core marketplaces and offset by the growth of content marketing subscriptions, which has a higher take rate but lower gross margin. Going forward, we expect gross margin to remain stable around the 80% level, with quarter-over-quarter fluctuations that are based on the dynamics of different products on our platform. Our third quarter adjusted EBITDA was negative $4.4 million and our EBITDA margin was negative 15.8%. This is a 430 basis point improvement, primarily driven by continued leverage gain on R&D and sales and marketing. This bottom-line performance and our strong unit economics show that we are making significant progress on our path to profitability. Now, to guidance. For Q4, we expect revenue of $28 million to $29 million, representing year-over-year growth of 35% to 40%. We expect Q4 adjusted EBITDA between negative 4.3 million and negative $3.5 million, representing a negative 13.7% adjusted EBITDA margin at the midpoint. We expect continued leverage from sales and marketing and R&D expenses. In addition, two quarters after the IPO, we expect to see G&A expense stabilize and start to gain leverage as well. We are raising our full-year guidance based on our performance in the first nine months of the year as well as positive trends in our business. The full year 2019, we now expect revenue between $105.5 million and $106.5 million, representing annual revenue growth of 40% to 41%. We expect adjusted EBITDA of negative $19 million to negative $18.2 million, representing a negative 17.5% adjusted EBITDA margin at the midpoint. We are very happy with our performance in Q3 and look forward to ending the year on a strong note, carrying positive momentum into 2020. I will now turn the call over to the operator to open it up for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question will come from Doug Anmuth of J.P. Morgan.
Doug Anmuth: Great. Thanks for taking the questions. First, Micha, I know it’s early, but can you talk more about Fiverr Studios, the increased gig size you’re seeing and just how it’s helping you grow more upmarket? And then second, Ofer, just in light of your improvement in EBITDA over the past couple of quarters, could you share your latest thoughts around the path to profitability and how you’ll balance growth and the bottom line going forward. Thanks.
Micha Kaufman: Thank you, Doug. Thanks for the question. Good morning. So what we’re seeing with Fiverr Studios, obviously, it’s a very new product and basically still in a pilot mode. However, what we’re seeing is we’re seeing great traction, hundreds of studios being created. And bear in mind that we’ve limited the audience that can actually open studios to very few sellers. And we’ve seen some amazing examples that speak to the quality of the work with Studios and the quality of the delivery. So one example for that is we’ve had an offer of a book that wanted to create an audio book. And for that audio book, he wanted to create a theme song. Now even Ofer, and obviously he doesn’t understand anything about lyrics, music composing, production or playing any instrument. So for such a customer, the heavy lifting is pretty obvious. With a single click, much like any other gig on Fiverr, he was able to have a studio produce that theme song for him. And this is worthy of being like a hit on the radio. We were blown away by the quality. So I think it’s – for us, it’s giving the signals that is exactly what we wanted it to be, which means it allows our customers to perform or achieve more complex tasks without additional complexity on their side. And what we’re seeing also is that the ASP, the average selling price, of a few of these gigs is 7 times the average market base gig, which is another great thing. So it speaks to both the experience and being able to achieve more things on the platform and it contributes to our spend per buyer. And so we’re very encouraged about that. It will take time. It will take a few quarters to move this from a testing mode to a scaling mode, but we love what we see right now. So the second question was directed to Ofer. Maybe I can start and maybe Ofer can complement or not. So as to profitability, we’re very happy with the continued improvement in our operating leverage. It’s driven primarily through sales and marketing and R&D this quarter. And as we’ve said, we expect G&A expenses will start stabilizing next quarter as well to generate leverage. That said, growth continues to be our top priority. We’re still a very young company operating in an industry with huge market opportunity. The online penetration for freelancing services is low single digits, and we’re very focused on growing our business and increasing our market share through investments that we make in both product and marketing. So right now, I think that we are very confident in achieving profitability down the road, and we’re making good progress already. We have a highly attractive business model with over 80% gross margin. And we implement a highly efficient, disciplined data-driven marketing strategy governed by tROI, as we explained. And our growing consistent cohort base provides us with the inherent ability to improve leverage as we scale. So all in all, we are committed to achieving profitability and you should expect us to get there at a consistent and steady pace. Consistency is very important for us.
Doug Anmuth: Got it, thank you.
Micha Kaufman: Thank you.
Operator: The next question will come from Eric Sheridan of UBS.
Eric Sheridan: Thanks for taking the question. Two, if I could. Thanks for the detail on Germany. I just wanted to understand a little bit of how the piece of investments going forward might be aimed at targeting a further expansion in the German market, or how we should think about how far and how fast you can go in terms of investing across other geographies you’ve identified as sort of key for the medium to long-term plans. That’d be number one. Number two, on the demand side of the equation, we’ve heard a lot from a lot of different companies this quarter on direct traffic versus SEO headwinds, what’s your own experience in terms of driving on the demand side and how you might be changing some of the allocation of marketing dollars, what kind of returns you’re seeing on the demand side. Thanks so much, guys.
Micha Kaufman: Thank you, Eric. Thanks for the questions. I’ll take them by order. So as to Germany, in Germany, we’ve seen a very successful summer campaign in Berlin. What we’ve seen there was actually that traffic doubled from Q2 to Q3. And therefore, we decided to expand the campaigning to other cities, such as Hamburg. And I think that, that led us to the understanding or to collect the signals upon which we can expand our geo strategy into other German-speaking countries. We do intend to launch two languages in Q1 next year, because we understand from soft localization in Germany that, that has an impact. And actually, some of the interesting things that we’ve learned on the German market led us to understand that a lot of the local learning can be embedded into our algorithms. For example, what we noticed in Germany, and this is something we love, is that there’s a slightly higher focus on quality, and that drives the higher spend per buyer. They buy higher quality and more complex types of projects. So we can use that data to feed our algorithms to make sure that we serve the right services to the right audience. So I think this is the purpose of writing this playbook on how to continue expanding. So additional German-speaking countries, launching new – two new languages in Q1, that is to be expected from us on that front. The second question was about direct traffic versus SEO. So when you look at the numbers at the active buyer growth on fiber, what you see there is an acceleration of three quarters in a row. And the majority or the biggest part of that was the organic trend. The investment that we’ve made on brand marketing paid off. The investment that we’ve done on SEO paid off. The introduction of industry stores paid off. And obviously, we had some tailwinds from the IPO itself. But that, coupled with the fact that we have a very, very efficient paid marketing strategy that, this quarter, Q3 quarter, was 1x from tROI, which meant that the investments that we’ve made was paid back during that quarter, was achieved through efficiency of our diversification of channels, conversion improvements, products – new products, such as Fiverr’s Choice as an example. And in addition to that, we’ve seen very consistent cohort behavior, with 58% of our revenues coming from repeat. So I think that we’ve seen strong across the board. I would mention specifically the organic this quarter because it was very, very strong for us. Thank you.
Eric Sheridan: Thanks.
Operator: The next question will come from Ron Josey of JMP Securities.
Ron Josey: Great, thanks for taking the questions. Maybe, Micha, I wanted to follow-up on – and Ofer on the marketing spend and tROI reaching 1x, which effectively means revenue in the quarter from new clients accounted for the acquisition cost. And I know, Ofer, you talked about getting back to more of a normalized tROI going forward. But as you think about the newer channels that maybe Eric was talking about but also how you think about the growth in the business and awareness, can you just talk about how you view marketing, how you view awareness? Should you be spending more here in light of what you just talked about on the path of profitability? So just wondering about how you’re investing in marketing to grow awareness and growth, not only in Germany but also in the States, and whether this onetime is something we should expect going forward. Thank you. Great quarter.
Ofer Katz: Thank you, Ron and thank you for the questions and that question. And I think that the way we look at marketing looking forward is to continue the strategy that we have been implementing for the last few years, which is a very efficient expansion, our marketing efforts, with a clear path for efficiency and profitability. So we plan to increase our marketing investment within the framework of a strong tROI and lifetime value to crack, to maintain our healthy growth, a strong cohort behavior, not only on the first quarter with a strong tROI but on the longer term as well, which enable us to reduce the certain marketing overall as percentage of revenues down the road.
Ron Josey: Can you talk a little bit about awareness as well please? Thank you.
Ofer Katz: So I think I’ve mentioned the fact that the investment that we are making on brand marketing is paying off. We’re definitely seeing how that creates the right awareness. I think that in certain areas, such as Germany in which we’ve done awareness campaigns, we’ve seen that trickle down into doubling our traffic, as I’ve mentioned. And so that definitely helps both in gaining organic traffic and in improving conversion because when these customers come across our ads online, they already have a sense of who we are. So that also improves conversion. All in all, we’re seeing that strategy work. And this is why we expanded it beyond just Berlin in Germany. And obviously, the brand marketing that we do in the U.S. continues to be very effective. It also deals not just with awareness but we take it down from people that have seen the awareness campaigns down to consideration campaigns and down to conversion of base. So all in all, that integrated system of marketing works very well for us.
Ron Josey: Thank you.
Operator: The next question will come from Jason Helfstein of Oppenheimer.
Jason Helfstein: Thank, I guess two questions. One can you give us some thoughts on launching promoted listings in the future? You talked in the letter about success around the unpaid product, the recommendations but turning that into a paid product longer term. And secondly, industry stores seems like a terrific idea positioning the company to disrupt agency and consulting businesses. However, the sellers of these services tend to be more specialized. Do you think it’ll be more difficult to add sellers versus the traditional gigs that you’ve done in the past? And do you think you need to spend to market to those sellers relative to the historical seller growth that’s been organic? Thanks.
Micha Kaufman: Hi, Jason thank you for the questions. We did mention promoted listings, and this is a product that we are excited about. It is in the making. And hopefully, we will be able to start speaking about it when we’re going to start piloting it. Again, I think we’re making sure that it’s a product that we get right. We’ve spent a lot of time with other companies, larger marketplaces that have introduced promoted listings in the past few years. And I think we’ve learned a lot from their experience. One of the things that we’ve learned was the fast track to successfully integrate and optimize such a system could take to a year. And so what we want to make sure is we want to make sure that we come – we launch a pilot with a high-quality product. It’s in the making, so this is something that I’m sure we’re going to talk about in the next couple of quarters. And definitely, this is something that would contribute to our sellers’ ability to promote themselves but also generate a product that could actually complement to our take rates. Your second question was the industry stores. And I think here, what’s really important to understand is that the way we think about industry stores is oftentimes you would find a lot of different categories that are tucked under very different verticals. And so for specific customers that have multiple needs, it might be inconvenient to find them around the marketplace. If we take the example of gaming, the gaming store. So you have the development side, you have things like animation, you have things like music, you have things like streaming and so forth. In each one of these categories was – or is underneath a different vertical. And the idea behind the industry store was really to curate a lot of these categories, and sometimes introduce new categories as we introduce the industry store to make it very convenient, very efficient for a customer coming from that industry to find everything they need and to get inspired about things that they didn’t even know existed on our marketplace. So that doesn’t necessarily mean that we need a different supply than what we have. We do have sufficient, high-quality specialized supply. The industry store allows us to actually put a spotlight on that talent.
Jason Helfstein: Thank you.
Operator: The next question will come from Nick Jones of Citi.
Nick Jones: Hi, thank you for taking the questions. I guess, first you mentioned you expect to launch two new languages in the first quarter of 2020. How should we think about the investment after you launch those languages? I mean, do you start in specific cities and then kind of roll out in certain countries? Or can you be more aggressive next year in kind of rolling out additional countries?
Micha Kaufman: Nick, thanks for the question. So really, the idea is to introduce two new languages. I think that what we’re forming right now is exactly that strategy of learning from our experience in Germany to understand how much local activity do we need in every country. What we invest in is two main things other than just localizing the site. One is in the marketing area, which means that we do test the unit economy of a specific country to know if we can be efficient on performance marketing within that country. And the second is branding and community. Because Fiverr is a community-powered market base. It’s all about our freelancers and the businesses that work with them. So these two activities are the minimum activity that we do within a country. And we’ll decide if we want to repurpose some of our branding work into these countries as well. I think the idea, as we were talking about this playbook, is that once we feel confident or the confidence in our – in this playbook builds up, it will allow us to introduce or get into more countries in a faster pace.
Nick Jones: Got it. And one follow-up on the industry stores. Those are kind of the political campaign, industry store, maybe is that kind of opportunistic going into 2020 in the U.S.? And then can we expect additional industry stores to kind of roll out quickly? And how should we think about that? I mean, the political industry store seems similar to kind of a media site. What are kind of the key puts and takes? And how you’re thinking about rolling out additional industry stores? Thanks.
Micha Kaufman: Thank you for that question. So it’s selection year, and we’ve been in that scenario before and we know that the local campaigners are using the marketplace for their needs. And so it was – it just make sense to make their lives easier. So we curated the right categories, the right services for political campaigners to make that easier. And I think, as I’ve mentioned, the idea industry stores is something that you should expect seeing more of us in the future. We haven’t given a specific target for the number of inventory stores. It’s not a KPI. But basically, wherever we see that there’s an industry with a need in which we can increase or improve the experience of finding what they need, we will introduce one. And actually, the industry stores have been very successful in the sense that the categories that appear within both industry stores have seen an uplift in their activity. So that gives us the tailwind to continue investing in the future. Thank you.
Nick Jones: Got it. Thank you.
Operator: [Operator Instructions] Our next question will come from Brad Erickson with Needham & Company.
Brad Erickson: Hi, guys. Thanks. Just a couple of follow-ups. You mentioned a lot about the tROI here this morning, but also looking at, I guess, just cost per new buyer, that was obviously down a lot year-over-year. Just talk about the linearity and what we should expect to see related to CAC here going forward. And then second, just maybe remind us the cadence of new buyer ads we should be thinking about seasonally. You obviously just had a really strong quarter. Is there a reason or reasons why Q3 might be the high versus the year – for the year versus historical periods where, I think, the beginning and the end tended to be more of the high points of the year?
Ofer Katz: Hey, Brad. So what we actually experienced is that the tROI becoming shorter, yes, it’s not necessarily that the cost of new buyer is lower. It’s just that the lifetime value on the spend in the marketplace is going high as well. So that the – this is why the tROI is getting shorter. And I think that the higher the quality and the more products we introduced that enable more complex and bigger transaction while we are focusing on more business buyers, enable us to go up-market while maintaining a very efficient unit economy, and one of the products of the unit economy is the return on investment. And I think that when we look forward, we plan to keep going up-market and efficient the performance marketing spend, together with the conversion and open more channels, so that we plan the – to stay within the tROI framework. In terms of seasonality, I think I’ve explained before, usually in Q1, we expand our investment because of market condition. And then during the year, it’s more or less stabilized in terms of return on investment.
Operator: And this concludes our question-and-answer session. I will now turn the conference back over to management for any closing remarks.
Micha Kaufman: Thank you, everyone. I just want to say we appreciate everyone joining us this morning, and we look forward to speaking to you soon. Have a great day.
Operator: Thank you. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect your lines. Have a great day.